Operator: Good morning. My name is David, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the Summit Materials 2Q 2023 Earnings Call. Today's conference is being recorded. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Andy Larkin, Vice President of Investor Relations, you may begin your conference.
Andy Larkin: Hello, and welcome to the Summit Materials second quarter 2023 results conference call. Yesterday afternoon, we issued a press release detailing our financial and operating results. Today's call is accompanied by an investor presentation and a supplemental workbook highlighting key financial and operating data. All of these materials can be found on our Investor Relations website. Management's commentary and responses to questions on today's call may include forward-looking statements, which by their nature are uncertain and outside of Summit Materials control. Although, these forward-looking statements are based on management's current expectations and beliefs actual results may differ in a material way. For a discussion of some of the factors that could cause actual results to differ, please see the Risk Factors section of Summit Materials' latest annual report on Form 10-K, which is filed with the SEC. You can find reconciliations of the historical non-GAAP financial measures discussed in today's call in our press release. Today I'm pleased to be joined by Anne Noonan, Summit's CEO; and Scott Anderson, our Chief Financial Officer. Anne will begin with the business update. Scott will then review our financial performance. And then we'll conclude our prepared remarks with our view on the path forward. After that, we will open the line for questions. Out of respect for other analysts and the time we have allotted please limit yourself to one question and then return to the queue, so we can accommodate as many analysts as possible in the time we have available. I'll now turn the call over to Anne.
Anne Noonan: Thank you, Andy, and a warm welcome to everyone joining today's call. At Summit Materials, the teams across our footprint have a lot to be proud of. Our remarkable second quarter results which includes several safety operational and financial records clearly signal that our strategic focus as well as our safety first approach to everything we do is culminating in tremendous success across all important measures of our business. For safety, we are halfway through the year and our recordable incident rate is trending ahead of target as we collectively emphasize the leading metrics and technologies that help prevent injuries, minimize lost time, and keep our employees, as well as our community safe. Safety at Summit is a perpetual work-in-progress, but it is an everyday value where we empower our people and aim for continuous improvement on our journey towards zero harm. Financially, the second quarter extends momentum from earlier in the year and put us on very solid footing to again raise our financial commitments for 2023. And importantly, we have taken strategic steps that continue to strengthen our capabilities and our portfolio in a way that ensures we are building a Summit that can meet tomorrow's challenges, seize its opportunities and deliver attractive growth and profitability for our shareholders. On slide 4, I'm pleased to review the financial highlights from the second quarter for which there are plenty to cover. Here you can see, we delivered outstanding record-setting performance across nearly all metrics. Sustained pricing momentum for each of our lines of business and in each of our local markets was the primary fuel for revenue growth and even stronger profitability growth. We realized mid-teens pricing growth in every business driven by inflation-justified pricing actions in combination with sharp execution of value pricing principles. Cash gross profit and adjusted EBITDA each increased roughly 17%, the strongest second quarter growth rate since 2017, as positive price net of cost more than offset lower albeit resilient organic volumes in the quarter. Given the substantial performance tailwinds, a more constructive view on second half operating conditions, and contributions from recently completed acquisitions that I'll discuss momentarily, we are confident and again raising our adjusted EBITDA expectations for 2023. I'll spend more time on the embedded components of the outlook later in our prepared remarks. But the bottom line is that, we are capitalizing on market opportunities, raising the bar operationally and well positioned to deliver significant profitable growth in 2023 for the organization and our shareholders. Our progress is most evident in our Summit scorecard on slide 5. We grade ourselves in a very transparent and consistent manner to reinforce our strategic and financial direction externally. And despite inflationary impediments we're delighted by the strides we're making against three financial targets. Leverage at 2.3 times was flat sequentially and better versus the prior year. Maintaining our leverage while adding attractive assets to our portfolio is an especially positive story considering we remain well below target and therefore have the headroom available to aggressively pursue organic and inorganic growth opportunities. ROIC at 10.1% is a new Elevate Summit high and crosses over our target threshold. Having reached our goal minimum, we view this achievement not as a stopping point, but rather as a starting point we intend to build upon. Especially, in a higher rate environment, we know it's critical to continuously scrutinize the returns of each of our assets. And fortunately that discipline is now a reliable part of our organizational DNA. And finally, our last 12-month adjusted EBITDA margin set a high watermark at 23.5% up 70 basis points sequentially and more than a full percentage point better than at this point last year. This advancement clearly embodies positive trends for price and cost executing against our self-help margin opportunities and reflecting a more advantaged portfolio where we're leading in the right market and determined to achieve our 75% target for EBITDA generated from our upstream businesses. Obviously, we have more ground to cover to reach our 30% goal. And we know progress won't always be linear. But I could say without equivocation that we are motivated and committed to reaching the Elevate Summit margin target, we set back in 2021. We have complemented our financial progress by strategically leveraging our fortified balance sheet, to strengthen the composition of our portfolio via value-creating M&A. In the second quarter, we completed three acquisitions that meet our criteria for portfolio optimization that we previously outlined and can be seen on slide 6. As we strive towards our Horizon Two objective of at least 75% of adjusted EBITDA from aggregates or cement we acquired two pure-play aggregates businesses that enhance our reserve position extend our market leadership in Missouri as well as in the North Texas and Oklahoma markets and position those businesses to capitalize on local market opportunities. Additionally, with the purchase of Arizona Materials, Summit enters one of the fastest-growing MSAs with the leading integrated construction materials asset. This acquisition achieves footprint expansion into targeted geographic white space and positions us to benefit immediately from favorable growth conditions in Phoenix. In 2022, for the second consecutive year population growth in Maricopa County was the largest of any county in the US. This continues a secular trend for robust domestic migration into the Phoenix MSA and supports a deep and ongoing need for single-family residential construction. Phoenix and the surrounding area, also promises to be a prime market for meaningful and sustainable commercial construction. Arizona is a leading market for the onshoring and reshoring of heavy industrial manufacturing.  They have led the nation in chip investments since 2020, establishing the Phoenix area as a destination for large-scale semiconductor manufacturing like the ones already announced by, Taiwan Semiconductor and Intel. But private commercial investment stretches beyond semiconductors with, several Electric Vehicle, Electric Battery and Clean Energy projects announced for Phoenix and nearby markets. And then finally, the public end-market which will be roughly 20% of our Phoenix business will benefit from a legislative capital budget for Arizona DOT, of $3.1 billion in fiscal 2024 which is 53% higher than fiscal 2023 levels. The point is, entry into this rapidly growing MSA, provides Summit with attractive near-term opportunity, but also a runway to build out a more extensive materials-oriented growth platform in that geography overtime. If you consider each acquisition individually each presents compelling value creation for Summit and our shareholders. And collectively, they underscore our intentions to play offense in Horizon Two by aggressively, yet purposely advancing the portfolio in line with the disciplined framework that bridges our portfolio mix and generate substantial value. With that, let me hand over to Scott, to take you through the quarter in more detail.
Scott Anderson: Thanks, Anne. And I'll begin on slide 8 with a review of business segment results for the quarter. Let's start in our West Segment where we witnessed a very nice rebound following the first quarter hampered by wet and cold conditions in Salt Lake City. On a reported basis, net revenue was up nearly $50 million with roughly half coming from organic growth and the other half coming from acquisitions. Aggregates pricing remains a very positive story with second quarter and first half pricing up 18.5% and 21.6%, respectively. While price growth is strong across the West Segment, it is particularly robust in Texas including our core markets of Houston and North Texas. Importantly, the demand environment has proven especially resilient as second quarter volumes for aggregates and ready-mix demonstrated substantial sequential recovery following challenging Q1 weather conditions that thankfully abated in Q2. For Asphalt, pricing and volume growth of 16% and 8.3% respectively largely reflect the healthy infrastructure backdrop especially in North Texas our largest Asphalt market. West Segment adjusted EBITDA increased 23.5% due in part to contribution from M&A but mostly reflecting a positive price/cost dynamic. For our East Segment, net revenue decreased 9.3% exclusively due to divestiture as organic revenue was actually up approximately $17 million in the period. Aggregates pricing increased more than 10% led by growth in Missouri and Kansas. Despite divestitures, agg volumes were positively fueled by solid growth in Virginia and Kansas. Notably, in the coming quarters as we lap our 2022 divestitures what will emerge as an aggs dominated portfolio. And you're beginning to see that reflected in our adjusted EBITDA margins. Second quarter margins increased more than 300 basis points and year-to-date EBITDA margin is up over 450 basis points, relative to the comparable prior year periods. Thus, as designed, our divestitures moves in combination with greater greenfield contribution to create an East Segment capable of delivering very attractive run rate profitability. Lastly, pricing for our Continental Cement business increased 16% year-over-year and accelerated sequentially as the team is executing on the pricing plan with a July 1st price increase currently in the marketplace. Adjusted EBITDA increased 22.3% in Q2, fueled by positive price momentum reduced distribution costs and greater contribution from Green America Recycling a key growth driver and margin enhancer for cement business. On Slide 9, we present the pricing profile by line of business. And the clear takeaway is that each business line was able to sustain very healthy pricing momentum in the second quarter. We know that as we move into the back half of – the comparisons will get incrementally more challenging. But that doesn't change the fact that we are operating in a very constructive pricing environment. We have implemented fresh pricing across our footprint and across our businesses. For aggregates they differ in terms of timing and by market, but generally fall within that mid single-digit range. On cement, as we previously discussed, we've implemented a mid-year price increase of $10 a ton that simultaneously reflects inflationary input costs, ongoing tightness in supply and demand conditions and the unique value we bring our customers. Especially along the river where distribution conditions can be challenging, we've invested behind our product and our distribution network to ensure security of supply and top-tier customer service. Factoring in the pricing actions across the aggs and cement, we have consequently upgraded our materials pricing forecast for the year. On aggregates, we're now expecting pricing to be in the low teens range and for cement, we are refining our expectations to mid-teens for 2023 versus double-digits previously. For the downstream, we continue to pass along higher cement costs via ready-mix price increases with both Houston and Salt Lake delivering low-teen pricing gains relative to Q2 2022. On asphalt, price grew 17.9% in Q2. And for our two largest markets, which comprise roughly 80% of our total asphalt business North Texas and the Intermountain West, the pricing backdrop is very healthy and underpinned by robust public backlogs. Shifting now to volumes on Slide 10. And overall I'd characterize the demand environment as pacing with or better than our expectations, with expectation in regards to non-res and public end markets and better than expectations in regards to residential demand. These trends are most visible in the sequential improvement in ready-mix and aggregates' organic volume growth rates. Growth trends improved 8.3 percentage points for ready-mix and 1.4 percentage points for aggregates from Q1 to Q2. And had we not had a temporary pullback in our British Columbia volumes, we would have experienced positive organic aggregates growth in the period. Nevertheless, residential activity in Houston and to a lesser extent Salt Lake City has proven more resilient than our expectations and that's resulting in volumes holding up relatively well. For cement, flattish quarterly and year-to-date volumes largely reflect a capacity constrained environment and are relatively consistent with how we see things moving forward. And for asphalt strong year-to-date organic growth is tracking slightly ahead of our mid single-digit growth expectation for public end market this year but still serves as confirmation that we're seeing a positive benefit from the IIJA impacting our business. Moving to Slide 11 for a look at cash gross margins. And while cost headwinds certainly continued in the second quarter, we are seeing early evidence of cost abatement across several cost buckets. This cost moderation together with the compounding impacts of pricing actions and a sharp focus on operational excellence clearly makes us confident that conditions are ripe for margin recovery and then expansion. The total company cash gross profit margin expanded 280 basis points in Q2 and is up 290 basis points year-to-date, driven primarily by cement and the product lines of business. For cement, as we mentioned earlier, price execution alongside unique self-help margin opportunities like our Davenport storage dome, full production and conversion to Portland Limestone Cement and expansion of our Green America Recycling is powering substantial and sustainable gross margin growth. With regards to products, encouragingly both asphalt and ready-mix experienced cash gross margin expansion this quarter despite persistent cost headwinds. Our teams are passing through inflation justified price increases executing on short load feeds where and when appropriate and in the process adding points of margin. Embedded in this process is a selective and unapologetic approach to the downstream, where we compete in the right markets with advantaged assets. Turning to aggregates, where cash gross margin was virtually flat in Q2 versus the prior year. This represents an improvement in a year-on-year trend versus Q1 2023, but still short of where we'd like to be due to two factors. First, the prior year period had favorable cost recognition timing that did not repeat this year. And second, we experienced product and geographic mix headwinds relative to the year ago quarter. Controlling for these impacts, unit profitability would have increased roughly 20% in the period. This underlying trend improvement feeds our overall view that gross margin improvement for aggs is on the horizon and should be imminent. Before wrapping up, I'd like to refresh but also reiterate our perspective on cost trends for 2023. If you recall, we had previously discussed mid to high single-digit cost inflation for 2023 and that still feels like a reliable and reasonable estimate. What we saw in the front half was in the high single low double range, so we expect second half inflation to approximate to that mid single-digit range. Clearly cost pressures are uneven with diesel and logistic costs coming down while other things like equipment, labor and maintenance cost remain quite sticky. Therefore our leadership team will continuously stress controlling our controllables and more specifically emphasize execute on our commercial and operational excellence plans. I'll wrap up on Slide 12, where adjusted EBITDA margin increased 220 basis points year-on-year to 28.2%, driven by cash gross margin expansion as G&A spend ticked up, but is in line with our revised expectations that Anne, will cover shortly. Adjusted diluted net income and adjusted diluted earnings per share improvement reflects strong operating results, partially offset by higher interest expense. And for the purpose of calculating, adjusted diluted earnings per share please use a share count of 120.2 million, which includes 118.9 million Class A shares and 1.3 million LP units. With that, I'll now turn it back over to Anne, to provide an update on our 2023 guide. 
Anne Noonan : Thank you, Scott. In yesterday's release, we again raised our 2023 adjusted EBITDA guidance, this time to $560 million at the midpoint, up from $510 million, previously. And now we anticipate mid-teens percentage growth in adjusted EBITDA for 2023. Given our recent portfolio moves, as well as the vitality of the current operating environment, we thought it would be useful to bridge, from our previous expectations, to where we are today on Slide 14. Clearly, our record set in Q2, was well ahead of the expectations we characterized in May. If I were to quantify it, roughly $7 million was from in-quarter acquisitions and $15 million to $20 million, can be attributed to better than forecasted second quarter performance. Looking forward, you can layer on roughly $12 million, in adjusted EBITDA for the remainder of 2023 from recently completed acquisitions that weren't previously incorporated. Turning next to our year-to-go updates for price volume and cost. Having now implemented and executed pricing actions across the enterprise, we have better visibility to end market traction for each of our lines of business. And while not uniform, we have seen very solid price realization and can now incorporate what we expect to generate from these midyear price actions. To put a point on it, we were out with mid single-digit price increases in our aggs market and the $10 per ton for cement, went into effect July 1. Overall, market receptivity has been broadly positive. The one area, we're watching closely and that's not unique to Summit, is import influenced cement markets. What may emerge as freight rates have come down, the dollar strengthened and oil prices have fallen, is imports pressuring certain markets. The ramification may be, that you see price realization vary between import export markets and those that are more inland. For us, that would primarily be our Louisiana market, and we have factored this assumption into today's revised outlook. Similar to price, we are also upgrading our volume expectation for the second half on the back of residential resiliency. If you recall, in May we discussed residential declining 25% in 2023, while also leaving the door open for further revisions. Now we are revising that expectation to down 20% for the year. We feel comfortable recalibrating residential demand based on what we see on the ground in Houston, where activity continues to improve and economic conditions support further recovery and acceleration of single-family construction. Meanwhile in Salt Lake City, while activity is still slow relative to COVID year activity, now that we're clear of weather-related Q1 complications, we have a better view on conditions and think that the bear case scenario is unlikely to play out. We believe Q3 and Q4 will be sequentially stronger and we are hopeful this key market will build nice exit velocity heading into 2024. That said, we continue to reflect a longer more protracted normalization profile, for Salt Lake into our latest forecast. Regardless of the near-term recovery trends, we have strong conviction in the long-term growth and potential for each of our major residential markets, each of sound economic engines that should power long-run growth. In Houston, the energy sector a vibrant port and a growing medical community is bringing jobs and solid economic growth to one of the largest housing markets in the country. In Salt Lake, an emerging tech hub alongside tourism, is the backbone of their economy and should support wage and job growth for the foreseeable future. In both cases, supply levels are more than a month below what we would regard as healthy and we believe strongly, that we are playing in advantaged markets. Aside from residential, we are maintaining our demand outlook for nonresidential at flattish and public at up mid single digits for this year. If we were to add color to each, it would be that nonresidential growth will be project and timing dependent. If certain projects in our footprint commence in the second half, then growth will be positive. But that's still uncertain. And for public, we have strong conviction that will land well within our outlook and that's supported by robust backlogs in our largest public markets. Putting it all together, if before we were expecting volumes down mid single-digit for this year we are now low to mid single-digit, with aggregates and ready-mix down cement flattish and asphalt experiencing volume growth that proxies our public demand outlook Lastly, on cost, we are reiterating our outlook for mid to high single-digit variable cost inflation this year, although as Scott said, we expect a moderation in the pace of inflation in the second half consistent, with easiest prior year cost comparisons. The main change to our previous cost outlook regards G&A, where we are now calling for between $205 million and $250 million in G&A for 2023 or approximately $110 million year-to-go spend largely to fully account for performance-based compensation. Rounding out our outlook items, our midpoint assumptions for interest expense is approximately $110 million to reflect a higher rate environment and CapEx of $250 million, which we increased to reflect capital spend for our recent acquisitions. Let me sum it up by coming back to one of our Elevate Summit metrics adjusted EBITDA margin. For 2023 thanks to performance to date, as well as upgraded expectations we now feel confident raising our full year margin outlook to between 23.5% and 24%, a sizable step up from 2022 and if achieved would be an all-time Summit record. No matter what will you look at it, we are pacing towards a record year for our business, operationally, strategically and financially. Our Elevate plan is working. And when we stay true to and execute against the capabilities and priorities you see on slide 15, we have a unique and sustainable model for meaningful growth. We want to thank our shareholders for their continued support. And now Scott and I will be happy to answer your questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Trey Grooms with Stephens. Your line is now open.
Trey Grooms: Thanks and good morning, Anne, Scott, and Andy. Nice work on the margins there in the quarter particularly in the Cement business, and I guess also the product side as well. Could you talk about the primary drivers there? I know you touched on some of them, but maybe you could dive into some specifically around Cement? And then maybe kind of discuss your thoughts on the sustainability of the margin improvements you're seeing there?
Anne Noonan: Yeah, Trey. So honestly speaking our team has done a fantastic job on execution under David Loomes' leadership in Cement. And really I would just add to the latter part of your question. I believe it is very sustainable. As you recall we set our North Star objective for EBITDA on a sustainable basis on a trailing 12-month at 40%. And the team has been on a multiyear plan to achieve that. And if you look at where we are just trailing 12 months right now, the team has achieved 36.7%. And that's really through a number of levers. And this journey started back in 2020 where the team was hyper-focused on customer segmentation to expand margins and on our supply chain optimization. So between 2020 and 2021, the team really focused there and started this margin accretion path. More recently it's really been driven by four key areas. So pricing, value pricing working with our customers to really get the value of our products and expand margins has been very strong on execution. The second area, I'd highlight is around our investment in the Davenport Dome, which as you recall brought down our costs again margin accretive and made it more safe for our employees, while also providing our customers with security of supply. We also invested in our grinding capacity. And then the third area, PLC. We were the first in the US to move with the conversion to Portland Limestone Cement, which as you know is -- that capacity is good for our carbon base and also expands our margins by having a lower cost. And then the final area, which is extremely margin accretive is our Green America Recycling, which we've invested to expand. And in 2023 alone that's generating $14 million EBITDA on a base revenue of $25 million. So very margin accretive. And the path continues because we just announced last quarter, our Davenport investment in non-haz waste to get the FuelFlex technology in and that will allow us to convert up to 50% of our fossil fuels reducing our costs even further by reducing coal and pet coke in our kiln. So overall the team has done a great job on this path to 40% and we're very confident that we can get that sustainable 12 -- trailing 12-month margins. But there's a number of levers Trey as you see from that list I just gave you.
Trey Grooms: Yeah. Thanks, Anne. That was some really good color. I appreciate it. Hats off to you and the team on the great work there. I’ll pass it on. Thanks.
Anne Noonan: Thanks, Trey.
Operator: Next we'll go to Keith Hughes with Truist.
Keith Hughes: Thank you. Questions on the volumes in ready-mix got a problem for a couple of quarters. Has the weather and the other issues cleared? And what do you think that's going to look like in volumes in the second half of the year?
Anne Noonan: Really the ready-mix volumes are being driven primarily by our residential and our nonresidential segments. Clearly we started the year out when we gave our first guide. Say in residential we've done 30%. We upgraded that last quarter and we're upgrading it again to 20%. And last quarter if you recall Keith, it was very much about Houston being better than we thought. And really there you've got those larger builders that are able to lean into the rates basically update [ph] some of the concerns around affordability and spur new market growth on homes. Salt Lake City started the year very -- with no -- with very bad weather so really lost 50 days right at the beginning. We were very pleased to see it come back on here in Q2, but it's had a short season and it's coming from very high highs. There we're starting to see a pickup. And you should expect -- as I said in my prepared comments Q3 and Q4 will see more volume come in on that. So ready-mix has been if you look at the guide-to-guide the one that we've increased versus our last guide and we remain confident in it. Now that being said, it's still down versus COVID year levels. But we think the fundamentals for residential are very strong. Demand is still being driven by household formation by high income, by consumer confidence, supply has been driven very low inventory. Those two markets one is 2.6 months in Houston of inventory and Salt Lake City only has two months. You've got there -- also the retail market is very challenged. And also you've got builder confidence. So overall, we see ready-mix improve but we're not leaning into it very heavily at this point.
Keith Hughes: Okay. Thank you.
Operator: Next we'll go to Garik Shmois with Loop Capital. Your line is open.
Garik Shmois: Hi. Thanks. Congrats on the quarter and the outlook. I wonder if you could speak on M&A. You've made several acquisitions here recently. Thanks for the detail there, but your balance sheet now is below three times of leverage, which is your goal. And I'm hoping you could talk a little bit about your desire perhaps to use your balance sheet to make additional acquisitions from here?
Anne Noonan: Yes. So we were really pleased. If you recall the last few quarters, I've been talking about this rich pipeline, Garik that we were working on. And obviously, three of those acquisitions came to fruition all with the ability to advance our materials-led position. And nothing changes. We're at 2.3 times at the end of the quarter. We have a lot of headroom to grow. The pipeline is very strong. Our team is very active. Disciplined, though, as we've said we would be. We've stated our Elevate’s goals and speed. And the Arizona acquisition is a great example of we said about the key targets and key geographies that have strategic high growth and that's exactly what you can continue to see from us. You'll see materials led going into strategic high-growth markets just like Arizona and the discipline that we've had before. So, we have a lot of room. We feel this is the best value for our shareholders by reinvesting in the business in the form of M&A and also our greenfields and organic growth.
Operator: Next go to Mike Dahl with RBC Capital Markets. Your line is now open.
Mike Dahl: Thanks for taking my questions. Just a follow-up on the acquisitions. And can you just - you outlined kind of the contribution for the quarter and remainder of the year. So from a full year standpoint, on a pro forma basis, just help us fully quantify what these add in terms of EBITDA and maybe revenues as well? And then can you talk to the acquisitions were existing markets? One was new. So in the existing markets maybe talk to some of the synergy opportunities as well.
Anne Noonan: Yes. I'll answer the latter part of that question and then I'll let Scott give you the specifics on the actual contribution. So two of the aggregates acquisitions one was in North Texas it's really one quarry. It helps us build out an existing market that we're in, improve our vertical integration. So good aggregates pull through, a great example of extending our reserves. The other one was in Northwest Missouri and its three province, and that's a great example of being margin accretive, extending our materials led physician in Missouri and it's right beside our existing footprint. So we should be able to -- as we go into these generally, we'll look to take one to two turns post synergies off and it's really back office our pricing and our operational excellence that we put into these ag acquisitions. And as you know, it's in the DNA of the company, Mike that we just do this very well. And the team is already executing extremely well against that. Scott, maybe you'll talk to the specific contribution for Mike.
Scott Anderson: Yes Mike, just on the second quarter performance, you can use $7 million EBITDA from the acquisitions. And then on the go-forward outlook, you'll see it there in our slides that we've got $12 million attributed to that M&A.
Mike Dahl: Okay. Thank you. 
Scott Anderson: Mike?
Mike Dahl: Yes, I guess the 1Q performance - 1Q is usually a small quarter for you. So if I'm taking like the $19 million that you're outlining should we just kind of round up to the $20 million a year type of contribution?
Scott Anderson: Yes, that's fine.
Mike Dahl: Okay.
Anne Noonan: Thanks Mike.
Operator: Next we'll go to Anthony Pettinari with Citi. Your line is now open.
Anthony Pettinari: Good morning. Hey. In Cement, you talked about maybe some increased competitive intensity in import exposed markets. And I'm just wondering I mean if that's a comment on pricing. Is that something that you are seeing currently or that maybe you anticipate seeing in the second half or going forward, or just wondering if you could give any more color on that comment?
Anne Noonan: Yes. I think we -- as I said in my prepared comments, first of all, our river markets are largely insulated from import exposure. The one area we have is Louisiana, which is about 10% of our volume just to put it in perspective. There you see freight rates going down you see high demand. And so there, I would say imports are pressuring a little bit more in Louisiana. We saw that as we went through our midyear price increase. That being said we have extremely strong execution along our river markets that are not import imposed. And so we're watching it. I don't think it's a huge factor to worry about moving forward. It's just -- everyone had this very big price increase at the beginning of the year. We went through the midyear price increase. The team had excellent execution in all of our other markets. So something to watch imports are always something we watch very carefully but we're not overly exposed to it as a company.
Anthony Pettinari: Okay. That's helpful. I’ll turn it over.
Anne Noonan: Thanks. Anthony.
Operator: Next we'll go to Phil Ng with Jefferies. Your line is now open. Phil, your line is open. Go ahead. Okay, go ahead. Phil, your line is open
Phil Ng : Sorry about that. Can you hear me now? 
Scott Anderson : Go ahead. 
Phil Ng : Yes. Sorry about that. Congrats on another strong quarter. My question is for Scott. Aggregates just from the demand and pricing has been really strong margin's been little less robust. You talked about confidence in driving margin expansion. Should we expect that to come through by the back half? And you guys have talked about a North Star for cement from a margin profile. How should we think about the path for margins in the aggregates business when we kind of look out in the back half going to 2024 that ability to kind of drive that expansion going forward? 
Scott Anderson : Yes, Phil actually I'm glad you asked the question about margin expansion in ags. As you can see from our results here in Q2, we did improve over Q1 and it's something we're definitely intently focused on in getting that expansion. And as we look into Q3 and Q4 the back half of the year really comes down to two things. We've got a good read on price. So it really comes down to volume and cost and volumes appear to be holding up relatively well. So really it's on the cost side. And we are seeing the costs start to moderate. The inflation is starting to moderate and our operational excellence improvements that we are working towards are really starting to deliver now. So you can see we built up -- we narrowed that gap in Q2, and I think you'll see expansion in Q3. So that's where we're headed. We do have a North Star target. It's 60% for our ags gross profit margins, and we are intently on focused and continuing to getting that expansion as we head towards 60%. 
Anne Noonan : I'd just add Phil that as you look at the runway towards that we have as Scott pointed out you got your operation your commercial excellence. You also have the impact of our greenfields, which were extremely margin accretive. And then you've got like the acquisitions we did this quarter accretive Ag acquisitions will expand that margin as well. So you've got the four levers. And as we've talked before to operational excellence that's one of the things that gives us some upside as a company because of our maturity and get those ag margins there. So we remain very confident and glad to see the progress start this quarter. 
Phil Ng : Okay. Appreciate all the great color.
Operator: Next we'll go to Adam Thalhimer with Thompson Davis. Your line is open.
Adam Thalhimer : Hey, there. A great quarter.
Anne Noonan : Thanks.
Adam Thalhimer : Was that 60% on an annual basis, or are you just saying there might be a quarter out there where you could hit 60% Ags margin? 
Anne Noonan : It's on an LTM basis over time it's a North Star objective. It's not within the year. So we've set a very lofty objective for our team. But as I said agreements you can get there through all the levers that we have and I just kind of listed those up, but I think the operational excellence one is the one we talked about last quarter. We're just starting to get momentum on that and starting to drop dollars to the bottom line and that's where we really feel we can make progress over time and get to that 60%. 
Adam Thalhimer : Okay. Thanks guys. Great quarter.
Anne Noonan : Thank you.
Operator: Next we'll go to Brent Thielman with DA Davidson. Your line is open.
Brent Thielman : Hey, great nice quarter as well. Thanks. Just I mean not an insignificant amount of capital here put to work towards deals through the first half and clearly focused on kind of platform expansion. I'm just -- I'm hoping you could just comment on what's sort of different about the M&A strategy could work today versus what we came to know about the legacy strategy at Summit. What about these transactions or the characteristics and composition of the deals are sort of different from the old strategy? 
Anne Noonan : Yes. Great question. Thanks, Brent. So if we - if you go back to when we launched Elevate we said we're going to be very materials led and we'd be very selective in the downstream. We would only -- and the big difference is we have been very clear that we will only be in downstream markets where we can be the leading positions. And the Arizona Materials acquisition is a great example of that where we're entering a high-growth market with a leading position in ready mix. We're really good at the downstream and we're unapologetic about being in it but we're very selective. And so you saw the margins come out of that downstream. Our portfolio is so much better today with the divestitures that we did in some of the underperforming downstream businesses where we didn't have leading positions. So what we look for is this vertical integration model. And if you look at Phoenix we look at it as an opportunity to maybe replicate Salt lake City, which is the market where we're vertically integrated you compete along every point of the value chain with the same competitors, which allows you then to get these high profit high return businesses. And we see that we have a pathway through this acquisition to actually replicate our Salt Lake City downstream market in Phoenix. So we're very excited about this platform as we move forward. And that's a key difference. We will not go into the positions where we're like sub physicians in a market where you're number four or four. It has to be a leading position and it has to lead to a path of being materials led just like the Phoenix acquisition where you have a strong ag space and ability to bolt on in a largely fragmented market. 
Brent Thielman : Okay. Very good. Thank you, Anne.
Anne Noonan : Thanks, Brent.
Operator: [Operator Instructions] Next we'll go to David MacGregor with Longbow Research. Your line is open. 
David MacGregor: Yes. Good morning. Nice quarter. Just to clarify on that last M&A question. Are there other, sort of, new geographic regions that you're contemplating within your current M&A funnel? Obviously, you're not going to get into a lot of detail on that but I'm just wondering if we're going to see you in entering other new geos? And then I wanted to - for my principal question I wanted to ask about the Aggregates cash gross margins go back to that because in your prepared remarks, you cited a couple of drivers of the prior year favorable cost recognition there are some regional differences. I'm just trying to get a sense of the improvement you're expecting in those margins in the second half of this year. How much of it is just these year-ago factors resolving? And how much of it is operational improvement that you're achieving right now on a sequential basis? 
Anne Noonan: Yes. So let me answer the first part of your question, and Scott will address your question on the specific margin question. So David as you recall we announced on an acquisition in Ocala, Florida. That was a great example of a strategic growth market that we had identified and we're in the process of very active building that out right now. Phoenix is now our next one. And we do have others. For competitive reasons I obviously won't put specifics on those. We do have the -- if you think about our M&A it's a mix of that going into new platforms, strategic high-growth platforms and it's building out from making this circle bigger from where we belong today. And the two ag acquisitions were a great example of that bolt-on strategy as well. So expect more of the same is how I would define it. Scott, maybe you want to address on those margin questions. 
Scott Anderson: Yes. So David, you called out the favorable cost adjustment from a timing issue in the prior year. And really all that amounts to is last year with the rapid pace of inflation we had to pull forward the standard costing end of June. Usually we do that in Q3. So it's a timing it will smooth out in Q3. It really won't affect the annual performance at all. As far as the margin expansion though when I think about the -- if I isolate the back half I think about the costs coming down from that high single-digit really to a mid single-digit. And then on the pricing side as we've talked about really the back half of the comp gets a little harder. So we're probably only going to be at double digit. But I think that's where we're going to get our expansion. That cost is going to be coming off in the back. And then as we've already talked about the operational improvement initiatives we've got $20 million identified in operational improvement initiatives. Now that won't all hit this year. But definitely we're going to see some material impact from that in the business. Does that answer your question David? 
David MacGregor: It does, Scott. Thanks very much. Thanks, Anne.
Scott Anderson: Yes.
Anne Noonan: Thanks, David.
Operator: Okay. Next we'll go to Jerry Revich with Goldman Sachs. Your line is open. 
Jerry Revich: Yes, hi. Good morning. Good afternoon, everyone. I wonder if I could just ask regarding the margin progression third quarter versus second quarter. So with the midyear price increases flowing through in ags and cement it sounds like we should see margins improving more than the two points we would see under normal seasonality versus 2Q but I just want to make sure there's no other pieces to think about in that progression versus normal seasonality this quarter? 
Anne Noonan: Yes. I think all the factors that we've talked about Scott just went through we'll continue to be margin progression. I don't think you should see any difference in our seasonality moving through because Q3 is our biggest quarter you know that Jerry. And so we would expect a compound you see additional tailwinds on pricing in Q3. And as Scott referenced, the cost should start to moderate and come off and we have our self-help initiatives, so you should expect to see margin expansion over time. And that's why we were confident putting the overall expansion of margins in our guide for the full year at 23.5% to 24%.
Jerry Revich: Yes. Absolutely. Just trying to gauge whether there's upside to that end. And then in terms of the pricing outlook, obviously, super early for '24, but conceptually given the outsized inflation we're seeing this year, are you folks thinking about for aggregates and cement more substantial January 1 price increases than what we've seen over long-term history in this industry of 4% to 5%?
Anne Noonan: Yes. So costs have not abated. While energy and logistics may have come off a bit, we still see a lot in equipment labor and repair and maintenance. So, the supply chain issues have not resolved, we expect and you can expect to see us in the marketplace with January price increases across all lines of business.
Jerry Revich: Thank you.
Operator: Next, we'll go to Kathryn Thompson with Thompson Research Group. Your line is open.
Brian Biros: Hey good afternoon. This is actually Brian Biros on for Kathryn. Thank you for taking my question. On asphalt, can you touch more on the outlook here for the segment with public spending coming, it seems like asphalt could be a pretty big growth engine for you guys. I think you've alluded to that before. But just, how much more can volumes go in the second half or even in 2024, the strength of public activity coming down? And are there any headwinds that would kind of limit the growth here for you guys? Thank you.
Anne Noonan: Yes. I mean to your point, it's been very robust. And I look at our -- if you just look at the IIJ dollars, they're definitely going in. And for the first time, you actually see that in the Texas state budget and that's our biggest market for our asphalt. If I look at our backlogs, just what's in the backlog today, we're up 40% year-on-year and we have another pipeline coming in very strongly after that. And with federal-funding of the IIJ dollars, we expect that in the second half, it will be strong and continued strength, 2024 should be a very much outsized growth market year-on-year for public spending. And we're seeing it across our entire footprint. So if you look at year-to-date, we're up on our contract highway and paving awards in Texas by about 41%, Kansas 85%; Colorado 71%; and Missouri and Utah are up 20% to 25%. So, we're very bullish on the public side and feel that our asphalt and grow. To your question about headwinds, clearly labor is something we're working on. We're increasing the size of our crews. We're planning to be able to meet all the demand that comes. But it is a challenge and it will continue to be from a labor perspective. But we've got a great team and great positions in our public markets and are very encouraged by the long-term outlook for public moving forward.
Brian Biros: Thank you.
Operator: There are no further questions at this time. And Noonan, I'll turn the call back over to you for any additional or closing remarks.
Anne Noonan: Summit is on pace for a record-setting year with operational and market tailwinds that should push us towards unprecedented levels of growth and profitability. Our more positive outlook and raised guidance incorporates strong pricing execution, the operational opportunities that we are actively pursuing across our footprint and the accretive acquisitions we've already completed. We are winning in a dynamic marketplace, thanks to an improved portfolio, a clear strategic direction and a talent-rich organization. We have a full plate of opportunities ahead of us, but our team is animated by pushing our progress further and is intensely focused on delivering the financial commitments we express today. As always, we thank you for your continued support for Summit Materials and hope you have a great day.
Operator: This concludes today's conference call. You may now disconnect.